Operator: Good day, everyone and welcome to today’s ProAssurance third quarter earnings release conference call. As a reminder, today’s conference is being recorded. For opening remarks and introductions, I will now turn the call over to Mr. Frank O'Neil; please go ahead, sir.
Frank O'Neil: Thank you, Lacey. Thanks everyone for joining us. Excited about this quarter, the news release we issued this morning and our SEC filings include disclosures with respect to forward-looking statements. In that regard, please understand that statements we make today are likely to deal with projections, estimates, expectations and are thus explicitly identified as forward-looking statements subject to various risks. Our actual results could vary materially from current projections or expectations. Our SEC filings have a full listing of the risks, you should understand about ProAssurance. We will not undertake and expressly disclaim any obligation to update or alter forward-looking statements, whether as a result of new information or future events except as required by law or regulation. The content of this call is accurate only on election date Tuesday, November 4, 2008, the date of first broadcast. If you are reading a transcript of this call, please note we did not authorize it and we have not reviewed it for accuracy. Thus it may contain errors that could alter the intent or meaning of our statements. On the call today with us is our Chairman and Chief Executive Officer, Stan Starnes; our President, Vic Adamo; Chief Financial Officer, Ned Rand; Chief Underwriting Officer, Howard Friedman; and our Chief Claims Officer, Darryl Thomas. Stan will open our remarks today. Stan
Stan Starnes: Thanks, Frank. Welcome everyone and thanks for your interest. Operationally, this was a strong quarter and our disciplined approach to the business allowed us to continue to drive profitability and shareholder value in a tough pricing environment. On a net basis the quarter was profitable, despite our disappointing investment results. Our losses are less than 1% of our $3.5 billion highly rated portfolio and while no one likes to report even a dollar of investment loss we believe we’ve managed the risk appropriately. Looking ahead we are being patient and searching for opportunities that will allow us to maintain the balance sheet strength that is our hallmark. That financial strength is one of things that make us attractive to PICA, our partner in our most recently announced transaction and to Georgia Lawyers Insurance Company, the subject to the other transactions we announced last month. Frankly, I think the opportunities ahead for us should be the main area of focus, but I understand you want some commentary on the quarter, nothing has really changed. I could probably rewind my remarks about pricing and loss trends from the first to second quarter and play them again for you. Premiums are declining inline with what we expect to see at this point in the market. However, severity is lower than we expected, when we booked initial reserves and frequency trend remain stable at historically low levels, all of which results in a favorable reserve development and enhanced profitability. Frank.
Frank O'Neil: Thank you Starnes, Ned is next to focus on financial results. Ned
Ned Rand: Thanks, Frank. Let me touch on the operational metrics first and then I’ll mention investment results. I’m going to focus my comments on the quarter, in comparison with the last year’s third quarter because the trends for the year-to-date are similar. Comparisons for the year-to-date numbers are in the 10-Q which we filed a short time ago. The top-line was down 15% in the quarter as a result of lower premiums, inline with our expectations given in the current market. As you know our focuses is grow through acquisition and our two recently announced acquisitions will certainly change this premium trend. That being said, we are in a challenging marketplace, which I am sure Howard will comment on. Our loss ratio was 57.5%, which is a 7.5 point improvement over last year’s third quarter; reflecting the current loss environment and net favorable reserve development of $30 million. On the expense side, actual dollars were down somewhat inline with the decline of premiums, but the same decline in premium also resulted in an increase with expense ratio, which is up almost a point and a half to 21.6%. Overall, our combined ratio dipped below 80% and our operating ratio went below 45%, both reflecting the strength of our overall operations. We reported our bottom line results on both in operating and net income basis this quarter because of the effect that realize the investment losses had on the income statement. On an operating basis, our bottom line was up 3% and operating earnings with a $1.31 per diluted share were 6.5% over last year. It helps by the shares we’ve repurchased, as well as operational success. Our net realized investment loss of $34.2 million was painful, but manageable given the size and quality of our portfolio. That’s the main reason that net income was down 48%. As Stan mentioned, we continued to be cautious about new investments and that’s leading us to conserve cash until the investment climate becomes less storm. A disclosure of our entire investment portfolio has been updated to September 30 and now available in the Investor Relations Section of our website. The vast majority of our holdings continued to be in government and agency securities and investment grade bonds and the overall rating remaining AA. We also saw the effects of the turbulent investment market in our investment values and in our book value result. Book value per share at September, 30 was $39.78, lower than last quarter, but still up about 3% for the year. Frank
Frank O'Neil: Thanks, Dave, Howard a word on reserves and overall trends.
Howard Friedman: Thanks, Frank. Yes, these are important data points, but not much new. There was net favorable reserve development of $30 million in the quarter, which puts us at a little over $81 million for the year. We’re now seeing the net favorable development primarily for accident years 2004 through 2007. I want to again emphasis that we have not changed our historical reserving practices. We believe that they will obviously volatility in our lines of business and we have shown that being prepared for it makes us a stronger company and benefits our policyholders and shareholders alike. Current year losses are still being estimated at around 84%, which reinforces our desire to avoid a repeat of the ambush our industry suffered in 1999 and 2000. We’re encouraged by our ability to retain 87% of our business year-to-date at premium levels that are just 6.5% lower than expiring. Let me again make the point that we’re not lowering premiums just because others are doing it. We are responding in an actuary sound manner after careful data review. So we can charge an adequate rate per unit of risk and must maintain the margins we need to sustain our business through the soft market.
Frank O'Neil: Thanks Howard. Darryl Thomas, how about a quick comment on claims.
Darryl Thomas: Thanks, Frank. The good news from claims is that was quarter and which the status grow was the order of the day. With frequency stabilized and severity of levels we believe our manageable we’re able to spread around the claims load and give each claim more individual attention in most stage.
Frank O'Neil: Okay, thanks, Vic an update on our two transaction announcements PICA and Georgia Lawyers.
Vic Adamo: Sure, Frank. Let me first talk about PICA. Now that we’ve announced the transaction next step in the process is filing of the plan of conversion for PICA to reorganize from a mutual to a stock company. The plan will be filed with the Illinois Department of Insurance, PICA state of domicile for insurance regulatory purposes. At the same time for insurance were filed with Form-8 to allow ProAssurance to assume control of PICA. These documents taking together we’re from a PICA to mutualize and ProAssurance to purchase all of the shares created in the demutualization. We expect these documents to be filed within the next 10 days, the transaction will close after Illinois has completed its review and our policyholder vote is held. We anticipate the closing will occur during the first quarter of 2009. PICA’s management reports good acceptance in early feedback from policyholders and employees as well as the major fully active organizations. So we think a policyholder what should those smoothly. I want to reiterate our comments from last quarter about lowest professional liability insurance. We said in that time we are serious about expanding the business. This transaction with Georgia Lawyers moves as halfway toward our goal of doubling the correct level of $10 million in Lawyers premium that is now written by ProAssurance. Frank
Frank O'Neil: Thanks, Vic. Stan, I know you wanted to talk about your outlook for the company and our new brand initiative.
Stan Starnes: I understand the whole world is in a financial whirlpool right now, but even with that we’ve reported a strong operational quarter based on our ability and willingness to be disciplined and dedicated to our business. We’ve announced two transactions that are filled with potential. PICA has somewhat overshadowed, our Georgia Lawyers announcement, which you shouldn’t overlook what that can do for expansion into our line of business where we want to go and in a region, where we know the markets will the Southeast, and we also highlighted the addition of two well known agencies; Grayhawk and ProLawyer to further expand our lawyers business in the West and mid-Atlantic. It goes without saying that we are very excited about PICA. We talked about that at length last Wednesday, so I won’t go into it in depth here. I do want to say that the reception we have had from PICA’s managers and employees has been great and I’m even more encouraged about how they will fit into the organization and how they will help us to be a better company and as enthusiastic as I am about these opportunities, I am just as energized by the opportunity before us with respect to our branding initiative. We did market research for almost a year at a very granular level to determine the wants, needs and beliefs of our customers, either agents or insurers. I don’t want to share the intelligence with our competitors, which you can reduce from our new thing treated fairly, what the research shows. We learned a great deal about ourselves and about our competitors both national and local and we have recognized the need to better differentiate ourselves from a see of competitors, who make me too claims in the marketplace, and treated fairly, we believe, we have sees on an idea that eliminates a path to excellence for our employees, defines our company and our goals for our insureds and speaks to our investors about our focus on maximizing shareholder value. It is a powerful statement, we are committed to nothing less than treating everyone we encounter fairly. This doesn’t mean that we have not done it in the past. It does mean that we are explicitly reaffirming our commitment to the founding principles of our company, and that each person who draws a pay check from ProAssurance can expect to be held with higher standards of customer service and integrity. Our agents tell us it resonating with them and helping them in the marketplace. Insureds are commenting positively on it and our employees have overwhelmingly embraced the idea. I closed last quarter by saying that, I am excited about our future. I want to emphasize again how confident I am and what loss ahead for ProAssurance. Frank
Frank O'Neil: Thank you, Stan. Lacey, we are ready for questions, if you’ll open the lines, please.
Operator: (Operator instructions) We’ll take our first question from David Lewis of Raymond James; please go ahead.
Ben Iyer – Raymond James: Hi, good morning and this is Ben Iyer [ph] for David Lewis. Congratulations on a great quarter. As I have a question on capital management. We’d estimated ProAssurance carried over $300 million in excess capital prior to the $120 million PICA acquisition, which the company has plenty of room to continue its repurchase program. Are you keeping your powder dry for other opportunities?
Stan Starnes: Sure, we look at that very carefully. We’re constantly analyzing it. As we’ve announced in the past we have available from a board the option to buy our shares when that appear so appropriate we’ve been in the blackout for a considerable period because of these transactions, but we think the days ahead will offer opportunities for additional transactions. We’ll look at those as we look at these with a very disciplined and keep our capital available to help us expand our business for our shareholder.
Ben Iyer – Raymond James: Okay. I guess just one question on rates then, kind of looking towards 2009 versus ‘08 it’s doubling in the competitive environment whether you have seeing or expecting as far as rates in 2009?
Stan Starnes: Right now, I think if we have to make production it would be a continuation of what we are seeing in the market, which has a relatively small average decline in rate quarter-over-quarter. Similar to what we have seen so far this year roughly 6%, 7%. However, each quarter brings new information and new dynamics to the marketplace and that we’re going to have to see what 2009 brings. There are indications just in the general P&C market from various publications and so forth that there would be a somewhat of a firming in the market maybe coming from the re-insurance side although we have not seen any indications about that in our particular marketplace, yet.
Ben Iyer – Raymond James: Okay. I guess and just given that today is Election Day, do you have any concern in any of the state elections about negative impact on tort reform?
Stan Starnes: No, anytime there is a new judge elected at any level, be it at circuit court level or it will be appellate level, there is an opportunity to see a deterioration in the strength or even the validity of tort reform, so we are anxious about every state in which we do business which has judicial elections or which has other election such as governorships which would appoint of the judges. It’s very important for the strength, I think of the economy overall and particularly for the strength of our marketplace that the tort reform initiatives be sustained and strengthened. As we’ve said before until the state Supreme Court of the state is declare tort reform constitutional we don’t go the bank on it because there’s too much they can happen in between the time its passed by the legislation and the time it reaches the Supreme Court. There are number of tort reform packages that are ripe for review by a couple of different state Supreme Courts and we anxiously await the outcomes of those, but this election will have an impact one way or another, directly or indirectly on virtually every judge in the country.
Ben Iyer – Raymond James: Alright, thank you very much and congratulations.
Howard Friedman: Thank you
Operator: And will take our next question from Mark Hughes from SunTrust. Please go ahead.
Mark Hughes – SunTrust: Thank you very much. With the PICA acquisition, any thoughts now regarding marketing initiatives perhaps you obviously getting a foothold in a lot of different states could we see some extra expending perhaps in 2009 related to those kind of initiatives.
Howard Friedman: I will take a shot at this. I guess it could be any of us. I think that the opportunity that PICA brings to us is longer term for my perspective, rather than the short-term opportunity and that is that PICA has an established base of business in many states that we’re not in and as we learn more about those states through PICA we may see opportunities there. In terms of a specific marketing budget I don’t think we have any plans in that regards for any kind of focus marketing and other states that we are not already.
Mark Hughes – SunTrust: Then the retention still at a very high level a point perhaps compare to the six months. Any change in behavior of some of your smaller competitors and I guess incorporated in that any recent thoughts on the AIG, whether that means anything for you all.
Howard Friedman: In terms of the smaller competitors, no, I think its continued pattern of what we have been seeing probably for the last year or so and that is that many of the smaller competitors particularly those that are, anywhere from three to five year of age in terms of startup companies are becoming more aggressive in terms of pricing in order to maintain premium volume because as the volume shrinks, they are very heavily affected in terms of their fixed costs and expense ratio. So, I think we’re continuing to see a push towards retention of business that almost any price from some of the smaller company. On the AIG side, we never really were in AIG’s footprint or they in ours. They are primarily for the medical professional in the excess and surplus lines market and most of that is in hospitals and larger non-hospital facilities, not so much the physician or smaller market. So, we really haven’t seen much of an impact there. I think we’ve had some opportunities to quote, but we may have those anyway.
Mark Hughes – SunTrust: Howard, I think one of the other things that we keep hearing from the marketing folks is that differential between the smaller companies and larger companies continues to shrink and that there is a maybe a less willingness on the part of a lot of policyholders to go with a new company when they could get an established highly rated competitor for almost the same price. That difference is not real high.
Howard Friedman: Yes, that’s true as well. Yes.
Mark Hughes – SunTrust: Thank you.
Operator: (Operator instructions) And we’ll take our next question from Mike Grasher of Piper Jaffray; please go ahead.
Mike Grasher – Piper Jaffray: Thank you. Ed, I wanted to follow-up on the capital question earlier. If you think about the Georgia Lawyers, PICA transaction both, closing and then your outlook for ’09, where might you anticipate your risk to capital level being at year end ’09?
Ned Rand: I think a lot of things can come into play for that for 2009 and obviously, as we’ve talked before a different people have different views of what excess capital. I think we will continue to be in an over capitalized position into 2009. We hope to find opportunities in 2009 to deploy that capital, but I’m kind of reluctant to make an estimate of exactly what that position will be.
Mike Grasher – Piper Jaffray: Okay. Would you expect it to change much assuming the claim environment remaining stable throughout ’09? Would you anticipate it changing much given your generation of capital even though you’re putting more risk on the balance sheet with the acquisitions?
Ned Rand: I would not expect it to change dramatically, no.
Mike Grasher – Piper Jaffray: Okay. With that being said, Vic just a question then for you. Is there enough manpower there to continue to bring these acquisitions in house with two out there right now set to close? Is there still opportunities, I guess first of all and then are there still opportunities and then second of all, do you have the man power to continue to integrate these mergers?
Darryl Thomas: Definitely, with the two before us, our Georgia Lawyers is although important to our lawyers line a relatively large transaction the scheme of our organization and that will be assimilated into our existing Lawyers Professional Liability plan with assistance from the folks that are doing Georgia Lawyers right now. It does not really demand much integration on the computer end or anything like that so that is really straightforward and fairly simple and nothing. It is totally simple and fairly straightforward. On the PICA end, we are actually not looking to do a great deal of integration on the business end, the integration will be more an investments and those types of activities, but PICA process is underwrite services its policies and then somewhat different manner than ProAssurance does. You’re dealing with our national book of business, somewhat smaller dollar and the administration of it is different, so that will remain with PICA out of Nashville, PICA is a very well managed operating company with very experienced managers. So although we will certainly demand a good amount of executive time as we learn about PICA and PICA of our ProAssurance and operating level is really not going have this much integration and it is in our previous transactions.
Mike Grasher – Piper Jaffray: Okay. Thank you for that and then Stan just a – I want to go back to your comments around the concern with the potential for judges being elected at some of these different levels of courts. From a philosophical standpoint so do you believe that there is still an opportunity for a trickle-down effect, if there is huge gains in the legislature and a democratic administration. Just from the standpoint of creating more uncertainty more uncertainty or more momentum for the trial lawyers?
Stan Starnes: Yes, I think it at least has a trickle-down effect and it may have some more robust in that and I think that – as you know trial lawyers have a very ambitious judicial and legislative agenda and their assumptions will be right along that a more liberal government in Washington and perhaps more liberal governments at the States level we will share that ambition and we will see efforts made to either busy it or diminish the importance of total form legislation, and more importantly, we could see opinions from state appellate courts, trial courts that weaken the fairness that we have tried so hard over the last 20-years to instill and encourage judicial system.
Mike Grasher – Piper Jaffray: What are going to be leading indicators for us, just to kind of keep our eye on this? Is there anything besides what we might read in the news or headlines?
Stan Starnes: Watch frequency. Two words watch frequency. If government that is elected is state and federal levels today is perceived our colleagues in the trial bar is being more receptive to the ambitions of the trial bar. You will see that manifested increased filings of lawsuits.
Mike Grasher – Piper Jaffray: Okay. Thank you.
Stan Starnes: Thank you.
Operator: It appears to next question, will come from KeyBanc’s Beth Malone.
Beth Malone – KeyBanc: Good morning. Yes, about the whole situation of maybe a change in the tort reform outlook due to election and other factors. Is it really correct to suggest that ProAssurance has actually excelled in an environment, where there isn’t tort reform that gives you the opportunity to out maneuver your competitors in some cases that are less capable dealing with a difficult legislative environment and are you reacting to the anticipation of less of the tort reform getting reversed or do you just go along business as usual until something actually does change?
Stan Starnes: A couple points Beth. First, as I said earlier. We never consider tort reform effective until it has been declared constitutional and upheld by the highest court of the state, which enacted it. Second, build our balance sheet to accommodate what we regard as the realities of the risk posed to physicians and our other insureds by the system. By that I mean, we have never believe that the decline in frequency was permanent and we haven’t priced our products with so many of our competitors I have. As if this decline in frequency we’re going to be internal. Second, we are used operating and an environment that portends risk and difficulty for our insured. We’ve maneuvered in that environment since the mid 70s and we feel like we know how to do it successfully. We have priced our product and the risk of that and we know how to execute our business. So, as to minimize the risk of that, to the extent of our competitor, as need of the appetite in all the balance sheet, we operate in that sort of environment, which may well be upon us and then we will certainly be in a strengthen position and so called flight to quality and flight to judgment and flight to operational maturity should benefit us.
Beth Malone – KeyBanc: Okay and looking in terms of your actual assumptions on the reserve development. I think that’s obviously that’s been an important part of the operating results and book value growth of the company in the last couple of years and if the outlook changes in terms of say tort reform and which would – potentially influence frequency with severity. With your expirations maybe we react to that new environment and could we in fact see kind of a diminished favorable development as they recalculate what they think could develop in the book?
Howard Friedman: I think two issues those you’ve mentioned about one frequency, one of severity. Frequency really would not have any impact on prior year reserves done a measurable expense since we have a very little occurrence or tail business that would be impacted by – a change in frequency that would work backwards. Severity if there was a dramatic increase in the cost of indemnity payments, sure it could work back to in a reserve base. On the other hand, our mitigating that, as you know we have taken a pretty conservative approach in terms of our reserves in that we established the reserves initially at our level that is higher than what we have currently projecting and we look to the data as those reserves develop as the claims close before we take reserves down. So if there was an increase in severity, we could handle a period of time and a certain amount of severity increase without having adverse development and possibly even continuing to have favorable development, but with a large enough severity increase sure, there would be an impact on prior years.
Beth Malone – KeyBanc: Howard I think you could also talk a little bit about strengthening of your staffs and so last market turn is, gives us some better opportunity to receive those leading indicators comment.
Howard Friedman: Sure, when we look back at 10-years ago, which should we are getting pretty close to the point in time or severity where does the increase in severity cost us as an industry, there was a at least from our perspective a relatively small group of people here really analyzing that and we have a much larger group and obviously much more robust database and a bigger book of business. So, in terms of trying to predict that and jump on it right away from our rate perspective, we can certainly do that. Likewise, the same thing in terms of the claims departments looking at cases and evaluating those cases the average caseload for claim specialist is lower now, so they can keep more on top of their book of claims and be able to establish the appropriate estimates even in changing times.
Stan Starnes: There is an increase in frequency we certainly have the capacity within the claims operation to absorb those claims without stressing the department.
Beth Malone – KeyBanc: Okay and would you say that the improvement in the knowledge and technology of tracking frequency in claims has been industry wide compared to ten years ago or because if that industry as a whole start to suffer adverse development. I would think that it may have a bearing on how the investment community might view the industry and if ProAssurance stands out in performance against the peers that differentiation between ProAssurance’s valuation and the industry valuation should widen?
Stan Starnes: I’ll take the first shot at this one. I think it really has to do a lot with the level of experience of the individuals are involved and how long might been doing as it’s pretty use and this business given that the cycle seem to be ten years or so in length to forget or maybe have not even been proved a difficult period of time like this before and underestimate how quickly and how strongly it can materialize. So, I can not really speak to the different companies and the different segments of the industry, but I think it really has to do with the longevity in the business?
Ned Rand: And Beth, as you know company have very pronounced approaches to how they book their expense here, they make those explicit in their public filings and I think it’s worthwhile to go look at those and just overall see who takes more cautious and who takes more aggressive stance that certainly would have be impacted if the climate were to reverse on you.
Beth Malone – KeyBanc: Okay. All right thank you.
Operator: (Operator instruction) And at this time we’ll take a question from Michael Nannizzi of Oppenheimer. I apologies if I pronounced incorrectly; please go ahead.
Michael Nannizzi – Oppenheimer: I was perfect actually, just a good question about, this is about the acquisition, but Ned, I don’t know if you guys had a chance to finalize the goodwill numbers or the expected goodwill numbers for that transaction for next year.
Ned Rand: Mike, we have not in part the goodwill will be based upon whatever the book value of both PICA and Georgia Lawyers, although much smaller, so we will focus on PICA and what the book value PICA is the day we close the transaction.
Michael Nannizzi – Oppenheimer: Great, okay.
Ned Rand: So, that’s I want to tell you, the over all excess purchase price is. As far as those identifiable intangibles that we discussed on last Wednesday’s call we continue to work on that it probably be sometime before we have definitive answers on that.
Michael Nannizzi – Oppenheimer: Okay, great, thank you.
Operator: Ladies and gentleman, if there are no further questions, I will now turn the call back over to Mr. O'Neil for final comments and closing remarks. Mr. O'Neil, please go ahead.
Frank O'Neil: Thank you, Lacey, and thanks everyone for joining us. If you haven’t voted, please go and do so. And we will speak to you again in February.
Operator: Ladies and gentlemen, that concludes today’s conference. ProAssurance Corporation thanks you for joining us. Have a good day.